Operator: Ladies and gentlemen, good day, and welcome to Full Truck Alliance's Second Quarter 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mao Mao, Head of Investor Relations. Please go ahead.
Mao Mao: Thank you, operator. Please note that today's discussion will contain forward-looking statements relating to the company's future performance, which are intended to qualify for the Safe Harbor from liability, as established by the US Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the company's control and could cause actual results to differ materially from those mentioned in today's press release and discussion. A general discussion of the risk factors that could affect FTA's business and financial results is included in certain filings of the company with the SEC. The company does not undertake any obligation to update this forward-looking information, except as required by law. During today's call, management will also discuss certain non-GAAP financial measures for comparison purpose only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. Joining us today on the call from FTA's senior management side are Mr. Hui Zhang, our Founder, Chairman and CEO; and Mr. Simon Cai, our CFO. Management will begin with prepared remarks and the call will conclude with a Q&A session. As a reminder, this conference is being recorded. In addition, a webcast replay of this call will be available on FTA's Investor Relations website at ir.fulltruckalliance.com. I will now turn the call over to our Founder, Chairman and CEO, Mr. Zhang. Please go ahead.
Hui Zhang: [Foreign Language] [interpreted] Hello, everyone. Thank you for joining us today on our second quarter 2024 earnings conference call. Despite the complex and volatile macro environment, we continue to advance the digitalization of the logistics industry in the first half of 2024, empowering enterprises to enhance their logistics competitiveness. Amidst the broader industry trend of cost reduction and efficiency enhancements, we leveraged our [digital] (ph) platform skill effect to deliver exceptional cost effectiveness and transaction efficiency to our users, driving the company's growth flywheel. Our fulfilled orders in the first half of 2024 grew by 25% year-over-year, significantly outpacing the single-digit growth in the overall freight market. This exceptional performance demonstrated that our digital and intelligent logistics model is steadily replacing the traditional offline solutions, including acquaintance truckers and contracted shipments. Since the second quarter, our key operational initiatives have been highly effective, particularly in terms of shipper user acquisition, enhancing the trucker supply ecosystem and boosting monetization efficiency. We are committed to becoming the one-stop shipping platform for 30 million small and medium sized shippers, focusing on acquiring high quality users through various channels. In the second quarter, our average daily count of shippers fulfilling initial transaction reaching a new record high. Additionally, we further improved new shippers user experience through refined operational strategies designed to enhance their connection frequency and conversion efficiency after their first shipments. As a result, our average shipper MAUs reached 2.65 million, an increase of 32.8% year-over-year. On the trucker side, we focused on a combination of strategies including premium cargo bidding, tiered trucker rating system and trucker credit scores, all of which leverage traffic distribution and benefit allocation to promote healthy capacity growth on the platform. Thanks to the increase in high quality transportation capacity, our fulfillment rate climbed to a record high of 33.7% in the quarter, up nearly 3.4 percentage points year-over-year. As for monetization, our rapid revenue growth in the quarter validate the platform's immense monetization potential. These accomplishments highlight the irreplaceable value that FTA provides to broad trucker and shippers. This quarter's solid operational performance resulted in another set of strong financial results, once again exceeding market expectations. Our total net revenues in the quarter reached RMB2,764 million, up 34.1% year-over-year. Among them, transaction service revenues grew by 63% year-over-year and accounted for more than 34% of our total revenues, becoming a new growth engine as we continue to optimize our revenue structure. Capitalizing on our revenue optimization and operating leverage, we also steadily improved our profit. Non-GAAP adjusted operating income and adjusted net income increased by 55.1% and 34.3% year-over-year to RMB699 million and RMB971 million, respectively. This July, the third plenary session of the 20th Central Committee of the Communist Party of China reiterated the importance of cultivating new quality productive force and reducing logistics costs across society. As a representative of intelligent productive force in the logistics industry, FTA continues to invest in digitalization and intelligent infrastructure construction, while actively promoting the development of new energy transportation capacity. In the first half of 2024, the number of freight orders fulfilled by our electronic vehicles increased by 100% year-over-year and contributed nearly 20% of total order volume. Looking ahead, we are confident that we will continue to lead the logistics industry in cost reduction and efficiency improvements through digitization, intelligence and green practices, creating greater value for all of our users and society as a whole. Thank you, everyone. Let me pass the call over to our CFO, Simon, who will provide an update on our second quarter business progress and financial results.
Simon Cai: Thank you, Mr. Zhang, and thanks, everyone, for making the time to join our earnings call today. I will now provide an overview of our operational and financial results for the second quarter of 2024. Despite macroeconomic challenges and pressure from extreme weather conditions, such as prolonged heavy rains that impacted shipments during the quarter. We maintained robust overall order growth on our platform, driven by an expanding shipper user base and higher fulfillment efficiency fueled by our enhanced network effect. Our fulfilled orders increased by 22% year-over-year to 49.1 million in the second quarter. Building on last quarter's momentum, our fulfilled -- our fulfillment rate also continued to rise in the second quarter, reaching approximately 33.7%, over 3 percentage points year-over-year. With the number of small and medium sized direct shippers growing faster than our 1688 member shippers. Our shipper structure continue to improve, leading to an enhanced overall order structure. In the second quarter, the order contribution from our 688 member shippers and non-member shippers climbed to 48%, breaking the record set last quarter. In addition, higher fulfillment rates among our 688 member and non-member shippers drove the improvement in our overall fulfillment rate. Looking ahead, we are confident there is significant potential to further elevate our fulfillment rate through ongoing product and service upgrades as well as continued refinement to our freight matching services infrastructure. Turning to our user base, we continue to make strong progress with our shipper users in the second quarter as evidenced by our average shipper MAUs reaching 2.65 million, representing an increase of 32.8% year-over-year and 23.7% quarter-over-quarter. This quarter's rapid shipper user gain was again attributed to growth among our 688 member shippers and non-member shippers who are mostly low and medium frequency direct shippers. As we enter the second quarter, we continue to ramp-up our new shipper acquisition efforts, leveraging multiple online channels to identify and convert high quality new shippers. In particular, we focused on the onboarding and retention of new users, making every effort to provide an exceptional fulfillment experience during their first three trials. We expect ongoing growth in our shipper base, thanks to this effective strategy. Furthermore, we achieved consistently robust shipper activity with our shipper member 12 month rolling retention rate remaining above 80% in the second quarter. In addition to our success with shippers, our trucker users have become increasingly dependent on our platform, thanks to the value we bring to the trucker cargo matching process. As of the end of the second-quarter, the number of active truckers fulfilling orders through FTA over the past 12 months reached 3.98 million, maintaining sequential growth. Additionally, our next month's retention of truckers who responded to orders remained above 85%, indicating continued strong user stickiness. In the second quarter, the average number of quarterly fulfilled orders per active trucker fulfilling orders on our platform reached an all-time high, a testament to our -- to their continuously increasing wallet share with FTA. Furthermore, our refinements to our trucker operation strategy are proving effective. During the second quarter, we systemically tested and upgraded certain product features to motivate truckers to bid on orders labeled high quality, achieving faster order acceptance rate and optimized fulfillment efficiency. Our approach to high quality order bidding also enabled us to steer truckers towards median quality orders, giving us greater control over the distribution of order posting. Going forward, we will delve deeper into the tiered trucker rating system to further improve trucker cargo matching efficiency, which in-turn will enhance our overall management of high quality transportation capacity supply. Turning to our transaction service in the second quarter, revenues from transaction service surged by 63.4% year-over-year to RMB952 million, mainly driven by three factors: the solid expansion in the number of fulfilled orders; the increased monetized order penetration ratio; and the elevated monetization rate. Truckers growing reliance on our platform, coupled with the development of trucker payment habits and the rapid expansion of direct shippers has set the stage for us to accelerate the realization of our commission model's potential. Our second quarter revenues from transaction service covered 81.1% of all fulfilled orders, an increase of approximately 14 percentage points this year, a point year-over-year from 67.1% order coverage in the prior year period. In the second quarter, our monetization amount per order, including transaction commission and trucker membership fee increased to RMB23.9 from RMB21.6 a year ago. Looking ahead to the second half of the year, we plan to steadily enhance both monetization coverage and monetization rate. Before going over our financial results, I would like to provide a brief update on our share repurchase program. Since we announced our one year share repurchase program totaling $300 million on March 13th, 2024, we have repurchased approximately 3.5 million ADS shares, totaling approximately $30.7 million. Moving on to our 2024 second quarter financial results. Our total net revenues in the second quarter were RMB2,764.3 million, representing a 34.1% increase year-over-year, primarily attributable to an increase in revenues from freight matching services. Net revenues from freight matching services, including service fees from freight brokerage model, membership fees from vesting models and commissions from transaction services were RMB2,328.7 million in the second quarter, representing an increase of 34.4% year-over-year, primarily due to an increase -- a significant increase in transaction service and the continued growth in freight brokerage business. Revenues from freight brokerage service in the second quarter were RMB1,164.8 million, up 22.7% year-over-year, primarily attributable to an increase in transaction volume due to the continued growth in user demand. Revenues from the freight listing service in the second quarter were RMB212.1 million, up 5.6% year-over-year, primarily due to a growing number of paying members. Revenues from the transaction service in the second quarter were RMB951.9 million, up 63.4% year-over-year, primarily driven by an increase in order volume, penetration rate and the per-order transaction service fees. Revenues from value-added services in the second quarter were RMB435.6 million, up 32% year-over-year. This increase was due to the growing demand from truckers and shippers for credit solutions and other value added services. Second quarter cost of revenues was RMB1,312.1 million compared with RMB975.3 million in the prior year period. The increase was primarily due to an increase in VAT related tax surcharges and other tax costs, net of grants from government authorities and these tax related costs, net of government grants totaled RMB1,176.3 million, representing an increase of 33.8% from RMB879.3 million in the same period of 2023, primarily due to the expansion of transaction activities evolving our freight brokerage service. Our sales and marketing expenses in the second quarter were RMB372.3 million compared with RMB281.8 million in the same period of 2023. The increase was primarily due to an increase in advertising and marketing expenses for user acquisitions, as well as higher salary and benefit expenses. General and administrative expenses in the second quarter were RMB219.2 million compared with RMB201.7 million in the same period of 2023. The increase was primarily due to higher share-based compensation expenses. R&D expenses in the second quarter were RMB232.1 million compared with RMB223.7 million in the same period of 2023. The increase was primarily due to higher share-based compensation expenses as well as increased -- increase in investment in technology infrastructure. Income from operations in the second quarter was RMB565.4 million compared with RMB333.8 million in the same period of 2023. Net income in the second quarter was RMB840.5 million, an increase of 38% from RMB609 million in the same period of 2023. On the non-GAAP measures, our adjusted operating income in the second quarter was RMB699 million, an increase of 55.1% from RMB450.7 million in the same period of 2023. Our adjusted net income in the second quarter was RMB970.9 million, an increase of 34.3% from RMB722.7 million in the same period of 2023. Basic and diluted net income per ADS were RMB0.79 in the second quarter compared with RMB0.57 in the same period of 2023. Non-GAAP adjusted basic net income per ADS was RMB0.92 in the second quarter compared with RMB0.68 in the same period of 2023. Non-GAAP adjusted diluted net income per ADS was RMB0.91 in the second quarter compared with RMB0.68 in the same period of 2023. As of June 30th, 2024, the company had cash and cash equivalents, restricted cash, short term investments, long term time deposits and wealth management products with maturities over one year of RMB26.8 billion in total compared with RMB27.6 billion as of December 31st 2023. For our third quarter 2024 business outlook, we expect our total revenues to be between RMB -- we expect our total revenues to be between RMB2.78 billion and RMB2.82 billion, representing a year-over-year growth rate of approximately 21.9% to 24.6%. This forecast reflects the company's current and preliminary view on the market and operational conditions, which are subject to change and cannot be predicted with reasonable accuracy as of the date hereof. That concludes our prepared remarks. We would now like to open the call to Q&A. Operator, please go ahead.
Operator: We will now begin the question-and-answer session. [Operator instructions] Our first question comes from Ronald Keung with Goldman Sachs. Please go ahead
Ronald Keung: [Foreign Language] Thank you management. And we see that the fulfilled order grew around 22% in the second quarter, still much faster than overall freight market, but growth rate has slowed versus the first quarter. So what were the factors behind drivers? And based on the trends so far, can you share how do you view order volume growth into the third quarter and for the full year? Thank you.
Simon Cai: Thank you, Ronald. Our robust order volume growth in Q2 was primarily driven by three main factors: our expanding shipper user base; product and operational strategy optimization that drove continued improvements in user activities; and incremental volume from new business. This was partially offset a little bit by the overall demand weakness in the road freight since Q2 and extreme weather conditions in May and June, particularly the prolonged heavy rains in Eastern and Southern part of China as well as flooding in the South and drought in the North. From a user base perspective, we continue to efficiently acquire users in the second quarter. Our average number of monthly active shippers increased by 32.8% year-over-year to 2.65 million, extending the first quarter's accelerated growth trajectory. Our operations team concentrated on the all-round support of new shippers, which improved user engagement from registration to their first shipment posting an fulfillment. For our product and operational strategies, this quarter, we focus on increasing the proportion of priced orders from shippers and optimizing premium cargo bidding for [indiscernible] for truckers. Encouraging shippers to post price orders has increased truckers' willingness to accept orders, enhancing matching efficiency. This was particularly true for professional shippers whose fulfillment rates improved significantly. Notably, the proportion of priced orders posting reached 60% in the quarter. We also continued refining our premium cargo bidding feature to strengthen truckers perception of high value orders. This product is designed to reward truckers with access to better orders after completing an average or below average order, which motivates them to stay active and increase their fulfillment frequency on the platform. On the new business, the bulk less-than-truckload and short-haul segments continue to grow rapidly and contribute to our business volume. Given the industry trend toward LTL and our unique user advantage in this segment, we expect substantial future growth in the LTL business. And looking ahead to the coming third quarter, despite the ongoing impact of extreme weather and the macro environment, we remain confident that increasing online penetration driven by user growth and product enhancement will enable us to achieve order volume growth of over 20% for the full year. Thank you.
Ronald Keung: Thank you, Simon.
Operator: The next question comes from Eddy Wang with Morgan Stanley. Please go ahead
Eddy Wang: [Foreign Language] Thank you for taking my question. My question is regarding the active ship MAU. So in second quarter, the monthly active shipper reached 2.65 million, so marking a year-over-year increase of around 33% and a quarter-over-quarter growth of 24%. So what were the main driver behind this growth? And is the user structure still trending towards to the direct shippers? Thank you.
Simon Cai: Thank you, Eddy. The second quarter strong user growth momentum was mainly driven by our effective user acquisition strategies. Our ongoing investment in online channels, in branding campaigns and offline truck sticker advertising brought a steady stream of high quality new users to our platform. Additionally, seasonal factors played a role as some shipments delayed during the Chinese New Year holiday were shipped during the busy shipping season in Q2, resulting in higher shipping demand. From a user structure perspective, the proportion of direct shippers continue to rise. In Q2, monthly active direct shippers increased by more than 38% year-over-year and direct shippers contributed approximately 48% of the total fulfilled orders. And similar to previous quarters, the majority of the new shipper users are small-to-medium sized business owners, who have a higher likelihood of placing and fulfilling orders. They also prioritize timely response and quality transportation services, further boosting fulfillment rates. On the other hand, direct shippers naturally tend to have a lower order frequency than professional shippers. To increase new direct shippers' order frequency, we continue to enhance the trucker credit rating system to improve overall service quality and standards. Leveraging our advantages in pricing, matching efficiency and trucker management capabilities. We aim to provide better service than those offline brokers that these users previously relied on. And also we are strengthening our user coverage with a more comprehensive area of services, including the less-than-truck load, short-haul and TMS systems to cater a wider range of shipping needs for small-to-medium sized shippers and increase the usage frequency. And looking ahead, as we expand -- as our brand exposure and awareness continue to rise, we expect a growing number of small-to-medium sized business owners to join our platform, driving sustained order volume growth in the rest of the year.
Operator: Our next question comes from Jiulu Li with CICC. Please go ahead. You may be muted. Jiulu Li with CICC. Please go ahead
Jiulu Li: Okay. [Foreign Language] Could you provide an update on your freight listing services? What trends have you seen in your member users in second quarter despite the rapid growth in mostly active shippers, the year-over-year growth in shipper freight listing service revenue is modest. What are the main reasons for this discrepancy? Thank you.
Simon Cai: Thank you, Jiulu. We're pleased with our year-to-date shipper member growth rate. As of June, the number of shipper members reached 860,000 compared with 780,000 a year ago. Paying user growth was mostly driven by the increase in the number of new users and enhanced membership operations that have boosted conversions. In Q2, the increase in new paying shipper members came primarily from direct shippers. To support this trend, we strategically lowered the payment barrier for new users with occasional free trial membership offers as well as a RMB288 mini membership package. Meanwhile, we also increased benefits for existing shipper members. Benefits for our member users include faster truck sourcing, access to top-rated truckers and free freight insurance, all of which help convert non-member users to members and improve existing members repurchase rate. Currently, the repurchase rate for shipper members remains above 80%, demonstrating existing members high reliance and stickiness on our platform. As we continue to improve our freight listing products and refine our operational strategies, we're confident that we will consistently attract more paying members and further increase user retention. Thank you.
Operator: Our next question comes from Brian Gong with Citi. Please go ahead.
Brian Gong: [Foreign Language] How was the trucker group overall activity in the same quarter? Has the continuous increase in commission rate negatively affected the truckers activity level? And what are our key strategies and priorities for trucker operation currently? Thank you.
Simon Cai: Thank you, Brian. Our average monthly active member of truckers responding to orders remained above 3 million in the second quarter with quarterly growth of more than 8%, ensuring an adequate carrier capacity supply. The number of days that truckers search for freight on our platform and the order fulfillment frequency per active trucker also launched in this quarter. Within our existing tiered truck -- trucker rating system, we continue to deepen truckers' reliance on our platform by refining product features across various scenarios. As we mentioned earlier, one of our key projects in the second quarter was the rollout of our premium cargo bidding function, previously high quality freight orders on our platform were often fulfilled before many truckers had the chance to bid, leading to a perception that a -- that high quality freight sources were in short supply. This negatively affected both our matching efficiency and fulfillment rates. With the launch of the premium cargo bidding, our platform now tracks and holds high quality freight orders to give more truckers enough time to review and bid on those orders. By extending these orders exposure time, we built and reinforce the perception that our platform has plenty of good freight orders. And this also creates a fair order bidding environment, which increases trucker user stickiness and improve overall fulfillment rates. In terms of optimizing service scenarios, we have capitalized on the ongoing trend toward LTL shipping and created a dedicated carpool, LTL carpool zone to improve trucker efficiency in consolidating the loads. In addition to help truckers, we report empty spaces, we launched our carpool assistant, which enables more accurate identification of [indiscernible] needs and increase its success rate. We're confident that with effective and refined operational strategies in place, we can ensure an overall positive experience for trucker users on the platform and help them increase their income. Thank you.
Operator: Our next question comes from Charlie Chen with China Renaissance. Please go ahead
Charlie Chen: [Foreign Language] Thanks management for taking my question. I have only one question regarding the entrusted shipment. How did the entrusted shipment business progress in the second quarter of this year? And what is the overall operational strategy for this transaction type in the second half of this year? Thank you.
Simon Cai: Thank you, Charlie. The entrusted shipment business grew rapidly in the second quarter with fulfilled orders accounting for more than 6% of total order volume. This is also a new record high. We see that our pricing strategy optimization was one of the main drivers of this rapid order growth -- volume growth by integrating algorithm and additional business logic, we created a more comprehensive and accurate pricing model. Effective control of the price premium has entitled both shippers and truckers to enjoy more balanced freight prices, which in turn has stimulated more order matching and fulfillment on both ends. Second, the influx of new users has also led to an increase in entrusted shipment orders, which has a lower barrier to entry for posting and a more hands on customer service team. These features are well suited to new shippers' needs, making entrusted shipments their preferred choice. Operationally, we are currently focusing on our tiered trucker rating system to ensure the quality of entrusted shipment transportation. This includes functions like delayed order displays, which shows entrusted shipment orders to quality truckers first and then to medium-tier truckers after a delay, ensuring that the platform has sufficient transportation capacity. In addition, those risky truckers such as those who have received serious complaints are excluded from viewing entrusted shipment orders. As we move through the year, we expect ongoing improvement in-product optimization, pricing strategy and user experience among other aspects, all of which contribute to the rapid growth of order fulfillment in the entrusted shipment business. Thank you.
Charlie Chen: Thank you.
Operator: Our next question comes from Thomas Chong with Jefferies. Please go ahead
Thomas Chong: [Foreign Language] Thanks management for taking my question. My question is about LTL, less-than-truckload business. Can management comment about the order volume growth in the second quarter? And did the management -- did the industry trend from STL to LTL continue in the second quarter and how do we position in the sector going forward? Thank you.
Simon Cai: Thank you, Thomas. The LTL business alone grew about 47% year-over-year in the second quarter, again outpacing the full truckload. The other contribution of LTL continued to rise from the previous quarter, reaching approximately 28% in the quarter. The relative outperformance of LTL in recent quarters was attributable to several main factors. The general industry shift toward LTL and the increased online penetration rate resulting from our platform enhanced product features. First, the recent adjustments in the supply chain structure have led large manufacturers in sectors such as automotive, auto parts and equipment to establish regional warehouses, ultimately boosting shipping frequency and a gradual increase in LTL demand. Also in response to economic conditions, small and medium sized enterprises are increasingly using large sized LTL shipping to reduce inventory and improve turnover efficiency. We find that most of our FTA shippers also require large ticket LTL shipping, meaning there is a significant overlap between these user groups, which minimizes our platform's user acquisition costs. Second, the major LTL players in the market are currently offline dedicated route operators, which with very low online penetration. On the shipper side, we have already established a massive direct shipper user base, giving us an inherent advantage in user volume. As enterprise users are typically price sensitive, they tend to save logistics costs wherever possible and our platform's intermediate free model effectively helps shippers reduce cost. This quarter, we launched a carpooling zone for our LTL business, enhancing shippers awareness of low cost carpooling and boosting their cargo consolidation efficiency by precisely identifying their carpooling needs. This initiative improved truckers' income levels and led to an increase in online penetration rate of our platform's large sized LTL business. Looking ahead, we will continue to focus on enhancing [indiscernible] and matching efficiency, user experience and penetration rates in the LTL business to address increasing user demand. We also believe that the LTL business will continue to play an increasingly important role in our platform's future business development. Thank you
Operator: And that concludes the question-and-answer session. I would like to turn the conference back over to management for any additional or closing comments.
Mao Mao: Thank you once again for joining us today. If you have any further questions, please feel free-to contact us at Full Truck Alliance directly or TPG Investor Relations. Our contact information for IR in both China and the US can be found in today's press release. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.